Operator: Ladies and gentlemen, welcome to the TDCX Q4 2022 Results Announcement. My name is Kelly, and I’ll be coordinating your call today. [Operator Instructions]  I will now hand you over to the TDCX management team to begin.
Jason Lim : Hello, everyone, and welcome to TDCX fourth quarter and full year 2022 earnings conference call. My name is Jason Lim, the Head of Investor Relations. Allow me to introduce management on the call. We have our Executive Chairman, Founder and CEO; Mr. Laurent Junique; our CFO, Mr. Chin Tze Neng; and our EVP of Corporate Development, Mr. Edward Goh. Before we continue, I would like to remind you that we will make forward-looking statements, which are subject to risks and uncertainties, and may not be realized in the future. You should not chase any reliance on any forward-looking statements. Also this call includes the discussion of certain non-IFRS financial measures, such as adjusted EBITDA and adjusted net income. For a reconciliation of the non-IFRS measures to the closest IFRS measures, please refer to our press release on the Form 6-K, which is available on our website. We have prepared a convenient translation for the translation of Singapore dollars to the US dollar. This was done at a rate of US$1 to SGD 1.3446. This should not be construed as a representation that any Singapore dollar amount can be converted to USD at least or any other REIT. With that, let me hand over the call to Laurent. Laurent, please.
Laurent Junique : Hello everyone, and welcome to our results briefing for the fourth quarter and full year 2022. 2022 has been a challenging year, but despite that we continue to execute on our long-term growth strategy previously outlined during the IPO. We achieved our growth expectations with almost a 20% increase in revenue year-on-year. We doubled the number of new logos signed up to 41 and ended the year with our highest-ever client count of 84. The new clients onboard have contributed around 20% of revenue growth for the year. This demonstrates a strong incremental growth that we can deliver from new clients. We also continue to execute well on our global expansion plans. We added three new geographies that have started to contribute meaningfully to our global revenue. I'll share more details later. The TDCX team has worked very hard to deliver all this and I want to thank them for their efforts and for another year of high growth. Today is an International Women's Day and I want to celebrate the wonderful women that make TDCX what it is today. Now in terms of revenue highlights, let me first cover some highlights of our financial performance. We delivered robust revenue growth in Q4 2022 as revenue rose 14.2% to US$131 million. This was driven by contributions from clients across key verticals and has helped diversify our client concentration. Our top two clients stood at 52% in Q4 2022, compared to 59% last year, while our top five clients stood at 78% compared to 83% last year. The growth was broad-based as clients outside the top five grew at more than double the rate of group revenue growth. Now in terms of revenue contributions from verticals, Digital Advertising and Media remains our largest vertical at 54% of revenue in FY 2022. This is followed by Travel and Hospitality at 22% and FinTech at 12%. Revenue from digital advertising and media rose double-digit in 2022 despite some headwinds. This was driven by our relative strength in Asia Pacific a region where the digital advertising industry is continuing to grow faster than the rest of the world. We are also seeing good growth from other key verticals. Travel was up 26%, while FinTech was up over 50%. Gaming was another highlight for us growing over 70%, as we supported our key gaming clients into greenfield sites such as Turkey and Korea. In terms of earnings, our Q4 adjusted net profit was impacted by a foreign currency loss due to the depreciation of the US dollar and declined 13.3% year-on-year. For the full year, adjusted net profit remains robust rising 14.1% year-on-year. The profit growth rate was lower compared to revenue growth of 19.6%. This reflects the lower adjusted EBITDA margins of 30.1%, compared to 33.3% in 2021, which was boosted by two exceptional quarters in Q3 and Q4 with margins of 34% to 35%. Our CFO will share more details on the numbers in the later sections. The quality of our earnings growth is translated into strong cash flows, as FY 2022 net cash from operating activities rose 59.3% year-on-year to US$123 million. In 2022, we continued our focus on geographical expansion as a key strategic priority. And we added three locations Hong Kong, Vietnam and Turkey. Each location brings its unique strength and value proposition, while at the same time boosting the group's network capability. We are seeing greater contributions from our newer geographies. The seven geos added over the past two years made up 10% of the year-on-year growth in revenue against FY 2021. Korea is a good example of our network expansion that has worked out very well, over the past year, we onboarded three of our existing large clients in Korea successfully growing our business with them from the original geography. We also continue to receive good RFP opportunities in Korea through our value proposition of being the best friend to international companies. Colombia is also doing well, and we won several new clients there who are unique to the group. Besides being completely new businesses on the side of the world this gives us opportunities to cross-sell into Asia Pacific. As said earlier, we have continued our business development momentum. We doubled the number of new logos signed up in 2022 to 41 compared to 20 in 2021. Our launch client count rose 62% to 84%, as of 31st December. Beyond the new logo sign-ups, we also recorded strong organic wins with our existing clients. Our annual net revenue retention rate in FY 2022 was 117%, demonstrating that the incremental pipeline and revenue from existing clients remains strong. Now in terms of outlook before I hand over to Mr. Chin to cover the financials in detail, I'd like to provide an update on the outlook for FY 2023. The economic challenges we saw last year are expected to have a spillover effect into 2023. Macro uncertainty is impacting our largest clients in the near-term, especially in the digital advertising and media vertical and we recently saw a number of companies laying off. Things have evolved very rapidly within a matter of weeks recently. These clients have had to re-look at their costs and may find it difficult to come into budget plants for a longer period. Some clients have set their headcount requirements. And we want to be there for them in thick or thin. So we will adapt to serve them best in these challenging times, not just tactically but strategically as well. For some of these clients, the visibility we have on their comments is reduced the quarter from six to nine- months previously. So thanks to change very fast. As you know, digital advertising is half of our business. This has a significant impact on our forward visibility. Because of these factors and the uncertain macroeconomic environment, we are providing a wider range of revenue guidance at the beginning of the year as a matter of prudence. Revenue growth in FY 2023 is expected to be from 3% to 8%. We will adjust the guidance range over the year, as we get more visibility. Let me now hand over to Mr. Chin, to bring you through the results and the outlook in greater detail.
Chin Tze Neng: Thank you, Laurent. As Lauren mentioned earlier, our Q4 2022 profit was impacted by a foreign currency loss that occurred in the last couple of months of 2022. Before I go into the details of our Q4 2022 financial performance, let me first share our historical adjusted EBITDA margins excluding ForEx differences, recorded over the last two years. In Q4 2022, we incurred a relatively large foreign exchange loss of SGD6 million or US$4.5 million due to the pronounced depreciation of the U.S. dollar against the local currencies of our main deliveries locations. This arose from mainly the revaluation of U.S. dollar-denominated cash and receivables on our balance sheet held by the main delivery locations. If the net ForEx losses were to be excluded, adjusted EBITDA margin would have been 29.9% in Q4 2022. This is largely consistent and comparable over the preceding three quarters. Let me now move into the details of Q4 2022 financial results. Revenue rose 14.2% to US$131 million, driven by growth across the omnichannel CX, sales and digital marketing as well as content, trust and safety service lines. Adjusted EBITDA declined 13.1% to US$35 million largely due to the ForEx loss mentioned earlier. Excluding the ForEx loss, adjusted EBITDA margins declined from 35.2% in Q4, 2021, to 29.9% in Q4, 2022. The 5.3 percentage point decline in margins between Q4 2021 and Q4 2022 can be broadly broken into two broad buckets. Firstly, productivity and efficiency. Productivity from several key client verticals for the Omnichannel CX service segment in Q4, 2022, were lower than expected, as we recruited in anticipation of planned project volume expenses, which did not materialize due to a change in short-term outlook. Further, group revenue and margins in Q4, 2022, were negatively impacted by lower productivity levels at our Philippines site, which incurred significant costs in transitioning back to work from office in order to have minimal impact on our clients' projects. The combined impact from these two factors was around 3 percentage points. We are addressing the issue right now. The second bucket involves investments and increased costs to support business growth, including strengthening of our management structure to support business expansion as well as being a listed company status. Higher non-staff operating expenses such as depreciation and technology costs and initial overheads of the newly set up locations in Turkey, Vietnam and Brazil. The combined impact from these factors was around 2 percentage points. Moving on to profit. Our adjusted net income declined 14.5% to US$22 million, while net profit for the period declined 13.3% to US$19 million, due largely to the adverse movement in the foreign exchange currency. Next, we share some insights on our Q4 revenue performance by the service lines. Revenue from Omnichannel CX solutions was up 6% to US$73 million, due mainly to higher business volumes from the travel and hospitality and technology verticals. Revenue from sales and digital marketing services increased by 41% to US$36 million, with the expansion of existing campaigns from our key digital advertising and media clients, as well as additional contributions from new clients in 2022 which are ramping up. Revenue from content, trust and safety services rose by 5% to US$21 million, due to high business service volumes from existing clients. In Q4, 2022, Omnichannel CX made up 56% of our total business, while sales and digital marketing contributed 28% and content, trust and safety at 16% respectively. Let me next elaborate on our operating expenses. For Q4, 2022, operating costs as a percentage of revenue stood at 82.1%. This was higher than 76.4% for Q4 last year, due to the factors I alluded earlier on adjusted EBITDA margins. Employee benefit expense rose 18% to US$85 million, due to higher employee headcount and share-based payment expense, arising from the implementation of the performance share plan in November 2021. Our depreciation expenses increased by 11%, due to office space expansion to support our business requirements. All other expenses rose 78% for Q4, 2022, largely due to the ForEx loss during the quarter. Besides this, there were increases in rental and maintenance expense for the setting up of greenfield sites in Turkey, Korea and Vietnam, as well as transport and traveling and telecoms and technology expenses to support our growing business needs. Next, let me share some details on our FY 2022 financial performance. Revenue rose 19.6% to US$494 million, similarly driven by growth across all three business service lines. The actual revenue growth falls within the range of what we cited earlier for the year. Adjusted EBITDA rose 8% to US$149 million, as adjusted EBITDA margins landed at 30.1%, within our guidance range for the year. The lower margins mainly reflect the ForEx impact of US dollar, rising talent competition environment and increased support and corporate function overheads. Adjusted net income rose by 14.1% to US$93 million. Our net income rose by lower 1.1% because the performance share plan expenses was incurred for the full year of 2022 instead of only the fourth quarter of 2021. On the revenue front, FY 2022 revenue for Omnichannel CX solutions rose 15% to US$286 million. Revenue from sales and digital marketing services increased by 45% to US$ 134 million, while revenues from Content Trust and Safety Services rose by 6% to US$ 81 million. For FY 2022 Omnichannel CX makes up 58% of our business, while sales and retail marketing is at 25% and Content Trust and Safety at 16% respectively. Let me next share some details on our FY 2022 expenses. Operating costs stood at 80.7% as a percentage of revenue for FY 2022. Excluding PSP costs, this stood at 77.8%. Employee benefit expenses increased by 29% to US$325 million and 23% with up PSP costs, due mainly to higher employee count to support the business with volume requirement higher reach and other operational costs to cope with inflationary pressure. Our depreciation expenses was flat for the year with most of the capital spending back ended in the second half of 2022. All other expenses rose by 37%, driven by the ForEx cost in Q4, higher recruitment, as well as telecommunications and technology expenses to support business volume requirements. Lastly, let me provide an update on our full year 2023 outlook. As Laurent mentioned, there is significant uncertainty in the business environment in particular for some of our large clients in the digital advertising and media verticals. Taking into account the recent discussions with our clients, we are guiding for an indicative 3% to 8% revenue growth for FY '23. This reflects the limited visibility on business volumes prevailing in this current highly uncertain environment. We have provided a best possible gauge of what is in front of us at this moment in time and opted to be prudent in our assumptions what business will materialize over the course of FY 2023. Our adjusted EBITDA margin is expected to be between 25% to 29%. The widened margin guidance range of four percentage points, reflects the variations in our part this point in time due to the uncertain environment. The main factors impacting FY 2023 margins against the 30.1% achieved in FY 2022 increase this. Firstly, the current market situation described by Laurent earlier will create near-term revenue volatility in 2023, which will impact margins. Meanwhile, we have beefed up our overhead such as management and support structure including the Client Services team and our Center of Excellence division. This also includes our geographic expansion plans which represent investments into growth strategy for the future and which will incur initial weighted costs. As we get greater clarity over the course of this year, we hope to adjust on narrow the revenue guidance range over the next couple of quarters. Over 2023, we will adopt a balanced approach between cost optimization and being ready for recovery in the later part of the year. Let me now hand over back to Laurent for some closing remarks. 
Laurent Junique: Thank you, Mr. Chin. Let me just provide some comments before we proceed to Q&A. Despite the near-term uncertainty, I remain confident about our ability to accelerate growth once the macroeconomic headwinds subside. There are four reasons underpinning this confidence. The first one, our stronger business development and client conversion capabilities. We have beefed up our BD efforts in the past two years and our profile has resulted in our listing. These have paid off, giving us a stronger base of clients from which to grow. We believe this is a key change from pre-listing, giving us a much stronger platform to build on. Further, we have beefed up our client services team with seven senior hires throughout FY 2022. They are responsible for pitching for business with existing clients and we intend to drive a lot more campaign wins with existing clients through this avenue. In Q4 '22, we had our largest ever number of organic wins through RFPs with existing clients. Now, our second point is around our network expansion strategy. The seven geographies that we added since end 2021 give us a much wider footprint. This expansion into Asia Pacific Europe and LatAm are strategically planned with the objective of positioning ourselves well to emerge stronger. TDCX is now able to provide even more clients with a full range of solutions across different services and different geographies. This will enable us to win new businesses, which would not have been possible beforehand. Thirdly, we retain our expertise in core domains and our ability to provide value to clients. In particular, the travel and hospitality sector remains a bright spot and a tailwind for us in 2023. There's still room to grow in particular when the North Asian travel starts to reopen. We have built in a modest recovery in our numbers. If North Asia travel takes off, we will see a stronger second half of 2023. Another of our key strength in the sales and digital marketing service, which now makes up one-quarter of our business this is core to our clients' business where we are helping to grow their revenues and this segment should continue to be resilient and a bright spot for us. In 2022, we added the key clients in this space who has started to contribute meaningfully. At the onset, the plant elected two locations, which are top-tier cities and multilingual hubs. This has native language speakers with higher qualifications or capabilities, which tends to lead to higher conversion rates. This demonstrates that clients appreciate the higher value that we can bring in our sales and digital marketing services. Ultimately, we believe that the global digital advertising market remains an attractive high growth opportunity over the long-term. Lastly, we have embarked on strategic initiatives to deepen our relationship with our clients such as the launch of our Digital CX Center of Excellence in Singapore. The center will enable us to provide more dedicated strategic advisory to our clients. We have received a meaningful amount of request at a very strategic level. Plans are rethinking their CX strategies as we speak. They need to evolve their model consider optimization, adapt their AI strategies. They come to TDCX to help them with ideas and insights. So what we do is not tactical. We now are in a position to advise them by leveraging insights from our data science and machine-learning platform. Just to illustrate one client is asking us to help them redesign their sales strategy to grow way beyond their existing size and other has asked us to advise them on their CX strategy in light of increasing complexity of the work their advisers perform. We have huge data sets with years of performance information and trained data scientists and consultants. We believe this is a strategic advantage. Our approach to monetization here is by remaining our clients' global partners and to double down on topnotch execution augmented by data science. With the strong talent pool that we have built here at TDCX our ability to provide value-added services to our clients will continue to be a differentiator. I'm confident these points will position us to better navigate the current market conditions, once our clients get better visibility of their cost efficiency efforts later down the road, we will be in a very strong position to benefit. Further, the continued recovery of sectors such as travel and hospitality and markets such as China will help and we remain optimistic of our growth prospects over the mid to long-term. With that, let me hand over back to Jason.
Jason Lim: Thank you Laurent. We are now ready for the Q&A session. Before we begin, can we request that you keep your questions to the maximum of two each. If you have more questions please rejoin the queue and we will come back to you. Operator, can we have our first caller please. 
Operator: Thank you, Our first question comes from KC Ong of CGS-CIMB. Please go ahead.
KC Ong: Hi. Morning management. Thanks for taking my question. Two questions from me. Firstly, can you provide more breakdown in terms of segmental trends around the revenue guidance provided please? And with the recent headlines on tech layoffs, can we confirm if TDCX campaign size if any of such clients have been negatively impacted as an extension? Question number two, any further color you can give around your margin guidance? Is this baking in further ForEx headwinds similar to what we have seen in fourth quarter? And are you seeing a harder time passing through some of your operating cost increases to end customers given the macro headwinds? Thanks.
Laurent Junique: Thank you, KC. Laurent here. I'll take the first question. I'll have the second question answered by Mr. Chin after that. So the question around the guidance and which are the segments impacting us the most, I would safely say that digital advertising is one of them. It's not a secret that you can see the big digital advertisers have been announcing layoffs. They've provided negative guidance for the year. Their business is definitely impacted. So it would be very difficult for us not to be impacted in that sector. But within those digital advertising companies we do three things. We do OCX the customer support work. We do the sales and we do their content moderation for some of them. So where we see the biggest impact right now is on the customer experience side the OCX part of the business where the volumes have come soft and that is impacting us in the near-term forecast. So let me just again backtrack a little bit. We see some macroeconomic uncertainty. We have seen quite a bit of volatility and changes very recently. That's caused us to come up with a softer forecast on the back of reduced expectations in terms of volumes, but also clients looking for more efficient ways to manage their business. But that's really really on the CX side. So we are going to need to adapt to support our clients. The challenge for us is with visibility. We can see three months ahead and that's it and things may turn around very fast. But as you can see the Fed is possibly going to be increasing -- continuously increasing interest rates. Would that have an impact on the small and medium enterprises who are consuming digital advertising or e-commerce or other types of services? So we're not really sure how is that going to impact our clients moving forward. So right now three-month visibility, limited visibility mostly driven by all our digital advertising clients not just one and really looking at also optimization and efficiencies. So I hope that answers the question. Mr. Chin you want to talk briefly about the margin guidance as well. 
Chin Tze Neng: Yes. On the margin guidance to answer CK's question in the first one month of this year there is a little bit of continuation of the ForEx volatility that was factored into the guidance. Going forward I would say it was ForEx were kind of scale of each other over the longer period of time. So in the near-term there will be some further fluctuations that will be impacting our margins to a certain extent, but probably not as significant as Q4, but it remains to be seen. On the other side of the equation is the -- as what Laurent mentioned about the revenue volatility that is coming through due to volume flattening by some of the clients, some reduction here and there by some of our key clients to control addressing their own business made that they are facing. On the cost side of things we have also as far as I said in my script invested overheads that we have done in recent periods especially last year to address – to actually cope with our earlier overhead growth. That in a way will be a bit sort of flat going into this year. But the thing is we try to pace the overhead growth a bit nearer to our -- the business side of this to mitigate against all these revenue volatility and also the headwind that is coming our way now. So that's in essence how the margin is evolving. We are foreseeing to evolve this year. 
Laurent Junique: And KC if I may follow on. I mean there's some bright spots in travel, in gaming, new business, financial services as well for us. So it's really something that is contextual of the -- while digital advertising some other sectors as well. So it's a macroeconomic impact more than anything else that's driven us to do this to revise forecast. As far as the company is performing, we are really performing at the top end of the chart with our clients. So I'm very confident of our capability to rise at this moment. The question really is, how long is that, going to last, and in what shape or form. But as far as we're concerned we're sticking to our guns, with the investments we've made and we want to continue to double down in providing great services for our clients and be ready when things shape back up on these sectors. And again, it's not all parts of those sectors that are affected. It's more on the CX side which makes sense when you look at it.
KC Ong: Thank you so much for the explanation. Can I have just one follow-up if I may?
Jason Lim: Yeah, yeah, please go ahead.
KC Ong: Yeah. Sure. It's mainly on the new client that you have won last year, within the short video space. Given the recent headlines do we foresee any potential impact for that client? Thanks.
Laurent Junique: Thank you, KC. A bit early to tell, we still have some growth potential from this client because of the early part of our relationship. So we haven't adapted our forecast, because right now what we see is more narrative until that really happens then we'll adjust accordingly. Fortunately or unfortunately, the business is not huge for us right now so the impact may be more direct, if there is any at this point.
KC Ong: Got it. Thank you so much.
Laurent Junique: Most welcome.
Operator: Thank you. We now have our next question from Pang Vitt of Goldman Sachs. Please go ahead.
Pang Vitt: Thank you very much for the opportunity. Two questions from me maybe. Firstly, sorry to go back on the revenue guidance. I just wanted to make sure that we understand it right. I think, if you're actually looking at the midpoint of your guidance somewhere about 5% is somewhat implying that 2023 assuming some declining trend from the exit rate from fourth quarter 2022. So if I were to go back there and asking about the trend that you're currently observing, what led you to like this believe that things are going to train badly? Of course, you mentioned a couple of things earlier. But I just wanted to understand a little bit deeper in terms of line numbers there. On top of that, if you can also provide in terms of, how do you view the trajectory between the seasonality why as well first half second half? Are we going to see more weakness at this point in time in the first half already or most of that will come in the second half of the year? Any color about that would be extremely helpful. So that's question number one. Question number two, I think we have seen you expanding into many new geographic in the last couple of months, I think more recently we also see you just opening a new office in Brazil as well. So wondering, with all these new expansion in geography, et cetera, why are we not seeing this coming in terms of the revenue impact at all? And how long will it take for any of these new geography to ramp up and seeing some positive momentum there?
Laurent Junique: Yes. Thank you, Pang. Nice hearing you again. On – yeah, the revenue guidance, I think you really nailed it here about our ability when you're saying you want to know more the first half versus the second half. And then your first question on really a bit more color on the revenue guidance. Very much the driver here is softer volume, we're seeing from clients to be taken with a pinch of salt, because what we see is clients laying off looking for efficiencies, cost cutting is their first order of the day. And you can imagine a little bit of panic mode. I'm not saying, they are in panic mode, but everything goes almost in the early part of these decisions in general. And then later down the road, they could change in different ways because the volumes actually are much bigger than expected. Second I did mention I think in the past that the layoffs or clients looking for efficiencies could have a positive impact on outsourcing because they're going to be cutting their middle management layers. They're going to be needing to do more with less and outsourcing stands to benefit. The big question for us is when. And right now with that volatility, what we really can see that the clients can commit is three months. And we are taking a fairly conservative approach to forecasting. We're not the types to make bets on the second half. So will the second half turnaround or the increased number of interest rate hikes make it worse? It's maybe some people know, but I don't at this point. So we're taking a very conservative approach. So that's probably one for the difference between first half and second half. There is definitely hope that the second half will be much better than the first half, but I can't commit to a number at this point. So that's why we gave that wide range of 3% to 8%.
Edward Goh: Pang this is Ed here. Maybe I just want to sort of supplement what Laurent has said around sort of the broader markets and trends on digital advertising. I think if you look at what happened in 2022, broadly the expectation for the market was in that sector was to grow at around 15%, 16%. But based on some of the steps we're getting from some public sources I think they're expecting that year to just close at half of that which is just 8%. So I think the sector including some of our clients are basically having to adjust their resources and expectation for 2023. There are some early steps that says that this year originally we expected to grow rather, our digital advertising market is expected to grow by 13%, but that's moderating to around 10% this year. So the adjustment downwards for the market this year is less. But what's happening is that the clients after going through quite a drastic cutback in 2022 are having to sort of rethink quite hard. And I think that's sort of -- I think we're feeling a little bit of that repercussion in terms of client willingness to commit, so I think I just want to sort of connect what's happening in the broader market to what we are seeing and hearing from the clients.
Laurent Junique: And as a follow-on to this, I mean there are some bright spot in the second half, possible bright spot for travel for example, if travel over delivers on our expectations we've built in a fairly modest growth for our travel business this year. Again, the question will be will travel be impacted through the rise of interest rates, or will it not? If it's not then we stand to benefit. So there's a number of things that are not under our control to put a stronger forecast at this point. We've provided that wide range. There's a possibility we can beat that. There's a possibility we stay within. It's going to depend on some of those macroeconomic factors and all the good things that we're doing. The good things we're doing around winning new business, winning a lot more new business from existing clients which is also a very good sign of our capabilities and our client satisfaction. Otherwise clients wouldn't come to us for more if they were not satisfied with what we do. Coming back to your question about the new geos that are not yet delivering enough, they're starting to pull their weight. And the good news is that the geos we opened last year all opened with business and that's been on the back of quite a bit of gaming which seems to be another bright spot for us in 2023. So gaming is great. Well, before in 2021, we were opening a few geos with no business, right? Now how long is it going to take? We think two to three years minimum to see proper effects of those new geographies, but they are essential to our strategy of growth and relevance to our existing clients. So I'm a little bit excited about 2024 actually because we're going to be in an incredible position to be a global player. We see it from a number of clients big clients. We are now also looking at optimizing the number of vendors they have and I'm happy to see that TDCX is making it to the list. And that especially in sales and digital marketing for example 2024 could be an interesting year for us. But I don't want to go too far ahead since we're really looking at solid forecast in a matter of months rather than a matter of years. What I'm trying to say is that we see very strong fundamentals for the BPO sector for the outsourcing industry but more importantly for TDCX in our ability and the way we've delivered our strategy so far we're spot on where we need to be to be ready for the bounce back.
Pang Vitt: All right. Thank you. Maybe just a quick follow-up there. Just to be clear if you can help comment on double quick on the industry landscape as well. Can we also basically say that what exactly you are seeing are not a result of you losing market share, but isn't interfering overall meaning that the peer that you are observing in the industry are actually seeing similar at for this year?
Laurent Junique: It's a bit difficult for us to tell on the other peers. They all have a very different business than we have, different geos. Some are much more diversified. And then I think you may have seen the guidance that we're given by them. But in general, what I think is -- and that's my own opinion that in moments of crisis, clients are going to be asking a lot more from their vendors. So, you need to perform at the top of the league and we do at TDCX. So, that's the good news and that's an instruction has been working hard on since actually second quarter of 2022 we could sense that this pressure on performance was going to be important and it is. I know it's a constant thing to perform well, but it's going to be even more important. But also we're going to need to perform efficiently for our clients so that they have their efficiencies in productivity in cost efficiencies. and not just cost efficiencies in productivity. And again once again we're doing well on that front. We've invested as I've spoken about before into our consulting division advisory and transformation and we are playing a part at the strategic level with clients at this very important moment where they're rethinking some of their strategies. So, that's going to be again coming handy to be invited to the big bets of 2024. And if we position ourselves well enough which I think we are -- we stand again to win. I hope that answers the question. Pang, sorry for a long-winded.
Pang Vitt: Thank you so much. Just last one here before I jump back into the queue. Adjusted EBITDA margin definitely came down from what we have seen in historical trend 25% to 29% for your guidance. Is this something that we should expect beyond 2023 as well that the number will be at the normalized run rate of high 20%, or we actually may actually see things going back to low 30% again. Some colors around there would be helpful.
Laurent Junique: I'll take this maybe more on a general basis. So, I mean the guidance and Mr. Chin has given some color on the details of it for the revised guidance. From my point of view it's really a matter of context of volume reduction that is pretty faster than we're able to manage our overheads down and a mix of wanting to over perform for clients and taking in some bigger overheads on our side and not -- I don't mean by overhead but more by direct cost to really keep being at the top of the game. So, that's -- there's a temporary element of the margin reduction which is contextual. From a long-term point of view, it is our view that we can continue to have the margins we've been guiding for in the past, as long as we don't change our business model. And at this point, we believe we're on the right business model. So, no intention to change it at this point. Mr. Chin, if you want to chime in on the...
Chin Tze Neng: Yes. Thank you. So further to that, the direct cost as what we are watching it quite closely to address the volume contraction. But at the same time, we still want to state that has invested in necessary and critical over-hit responses so to speak to ensure that we deliver the best service still to our clients, who are going through tough times sort of investment in ensuring the stickiness of those plans refer through this challenging time. So that in the times when the volumes start to show signs of recovery, we will be there to reap the fruit of the recovery. And also on the indirect or the fixed OEs, there are some overhead of some investment in technology that we have embarked since last year that we -- in our pursuit of automation in our pursuit of better way of working. We are still going through those motion and the projects are still ongoing and it's a long-term project so to speak, ranging from two to three years. So we are not porting those projects as we speak, because we believe that those platforms, those are tools, those projects, transformative projects that are necessary extension part of our business to support our clients better. So there will be a slight, I would say, the compression that I mentioned in the near term. Whether it will go back to the 30s, it remains to be seen. I wouldn't be able to comment that well how the recovery will pan out in the coming, like you said, in second half year and going to the next 12 months going to next year. So we will be more true and mindful without sacrificing our quality of service for our existing clients who are going through tough times as well as promoting the new projects, new plans or in the new juice going forward. So it's a lot of moving parts that we have to balance in terms of overhead management in reaction to the business fluctuation. I hope I answered your question.
Pang Vitt: Thank you. Yes, it’s answered. Thank you.
Operator: Thank you. We now have our next question from Varun Ahuja of Credit Suisse. Please go ahead.
Varun Ahuja: Yes. Hi. Thanks for the opportunity. A few questions. So obviously, during this year, you expanded into seven locations. How should we think about the plan in 2023, given some of the macro headwinds that you alluded early in the call? And how should we think about M&A, on that context, there's an option of going inorganically versus organically? So, given the cash on the balance sheet and healthy cash flow generation. So just on that line of thought on the question number one. Question 2. Obviously there's a lot of talk about generative AI and the impact on the business. A few clients have also kind of trying to gauge on that front. So given we have management on the call, it would be helpful if you can give some color, how should we think about the generative AI and its impact? I know it's more long term but -- what kind of investments are you making right now I'm thinking about it? That's number two. Yes, if I can squeeze in a little bit one more. Your medium-term growth aspiration still remains the same during the time that you guided for around 20%, 25% growth, or is there any change on that front? Thank you.
Laurent Junique: All right. Varun, thank you so much. That's quite a few questions. Plans 2023, geographically, we have Brazil that we're in the midst of opening as we speak and Indonesia. And with that, we will be -- as I said before that we are now opening offices on demand from clients. So they start with business as a complement of our network. We will continue with that strategy in 2023, as opposed to what we did in 2021, where we needed network, strategic network expansion by committing a presence in country. And so that will have a probably better effect in our P&L, but also it's reflective of the fast expansion that we've performed over the past two to three years. We think our network is in a good place now and we have enough products to offer to our clients in global English, Asian languages, European languages. We are covering it at all almost. And we'll see depending on demand if new geos are required. So that's for the plans for 2023. On the generative AI side, the trend of automation, artificial intelligence is not new. And that's why we've started investing in that sector for quite a number of years. We've made good progress with our digital lab that is fully functional for a number of years. We've developed a number of tools that we leverage to support --our support services, but also our clients. And then now we have this consulting division that we are leveraging to provide consulting services at the most strategic level for our clients as we consider further automation, further optimization. And it's not just coming from a generative AI or AI in general. It's also through process optimization and the strategic thinking. So we are going for not just the delivery at AI and data science particularly, but also at the strategic level. Also the last one, I wanted to say before I hand over to Ed to talk about the M&A is that -- well, maybe I hand over to add first on the M&A side. 
Edward Goh : Sure, Laurent. On the M&A front look, I think we're very confident with where we are since the listing, obviously, we've been receiving a lot of ideas coming from different advisers a network of bankers with a very good sense on sort of what's out there. We have a very good sense on what we want to pursue proactively as well. We're very disciplined in with regards to what we're looking for in terms of the financial profile, in terms of the footprint, in terms of the client mix. And obviously, with the current business climate, it makes it a lot more compelling for us to look more closely and to be disciplined with the type of targets that were engaged with. But on the other hand, I think, as you noticed and observed as well we're obviously in a good place with the cash balance that we have to be able to deploy it particularly in a climate where interest rate is still very high. It puts us in a strong position for us to act on strategic acquisitions. So stay tuned on that one. I think we're working hard. I think as I said previously, we're looking for targets that are synergistic and sort of horizontal in terms of what we are doing. But at the same time I think as we talked about what you said generative AI related to that is the conversation of AI is a very fragmented sort of market out there as well with a few thousand vendors that are looking at things like; sentimental analysis language translation document processing all those could be interesting ideas for us to explore, as well as we try to blend that into what the consulting unit is doing, what our center of excellence team is trying to achieve. So the opportunities are bound, I think, we're quite excited with this particular area. Thank you.
Varun Ahuja: Thank you. The last question was on the medium-term growth, focus still remains the same 20%, 25% once this macro headwinds kind of clears?
Laurent Junique: It depends how you define medium-term, Varun. The things have changed since we went IPO right in 2021. So I have difficulties giving you a number in the current moment, given the lowered guidance we have in 2023. In effect, if the outsourcing low the assumptions we've made was on the back of a growing BPO business globally through indicators given to us by known companies or advisers. So now the question is, have these assumptions been revised? If they have not, we have absolutely no plans to change once the -- we've kind of gone over this economic crisis which is almost unprecedented. And if there is no impact then, there's no reason we should change our assumption. We're in a fast-growing region. We have leadership position in some key markets. We're doing well with new economy clients. Those have not changed those fundamentals. Now, is the tech sector is the new economy companies are going to recover? I think they will -- the question is always the same, it's when? But you cannot stop the pace of digitalization. It's happening. New categories are created all the time. CX is an essential part of their delivery. It's not about to go away. And again, TDCX strategy is to aim for, the higher complexity type of work which has a good opportunity. What we see as a trend is the complexity is really rising and the need for top talent, the top training, top processes and strategy is going to be increasingly important for our clients and we intend to be there to deliver it for them.
Varun Ahuja: Thank you. And thank you, Laurent. Good luck for 2023 and beyond.
Operator: Thank you. Our next question comes from Sigrid Qiu of JPMorgan. Please go ahead.
Sigrid Qiu: Hi. Good morning management. Thank you very much for opportunity. I have two questions. Firstly, I understand that some of your competitors are having are witnessing lens and selling cycles because of greater client cost discipline. So maybe I just want to confirm with you, are you observing the same trend? And if so, how long do you think the increased contract deliberation with is in 2023? And maybe how would it affect your new client acquisition as well as existing client penetration? And my second question would be, on the employee expense. I'm wondering with 4Q employee expense will be a reasonable base for us to forecast for 2023. And you've mentioned that, there's a reduced productivity and the potential of hiring. So how would it go from here directionally, maybe more in detail maybe how should we think of your hiring plan going to 2023? It would be great if you can break down by geography as well. That's all for me. Thank you.
Laurent Junique: Thank you, Sigrid. The longer sales cycle, yes, I can confirm in these times of certainty for our clients they see decisions are taking longer to make. So they're sitting on decisions and it's delaying us in our ability to bring in new business yet we're still able to close some deals. The go-to-market is we have faster decisions from existing clients. And we get from new opportunities. So yeah, I can confirm we've observed that trend. When is it going to subside? I'm not sure possibly second half, where clients need to make decisions, because they need to make their year. So the pressure then is on them to finally make that decision. They're sitting on because of lack of confidence and having difficulty. So we understand the challenge they're going through. The employee expense, I will partner with Mr. Chin, but I think part of your question is, can we use Q4 as a benchmark for 2023? Keep in mind that Q4, operationally, we did have some kind of challenges or we adapted our strategy to meet our clients' requirements. And so, I'm not sure I should use this as the approach to 2023. But Ed do you want to chime in? 
Edward Goh: Yes. I think just to add on, I think 4Q was, I would say, relatively unusual on, because there was specific sort of challenges and we are working on it right now to resolve that. I think looking at the full year of 2022 instead of 4Q 2022 sort of might be more representative of the performance going forward. Obviously, we must bear in mind that there's new challenges particularly on sort of the inflationary pressure. It could still be a swing factor there which I'm sure Mr. Chin has really factored, again, as well in the margin's thought process.
Chin Tze Neng: Yes. Yes. So an extension of both the gentlemen's response is, 4Q serves as a platform for us to recalibrate our employee cost trend into our staffing and as what I said earlier, to state as close to the volumes of the clients, which unfortunately is swinging quite with wide bandwidth. But having said that, first quarter of 2023 would probably have a small indicator of where we were last. But I would say, it serves as a platform for us to revisit and recalibrate our planning in terms of staffing and hiring strategies. Also, in terms of revisiting some of the tenant profile, to see whether there's any room for productivity, room for cost optimization to mitigate against the revenue challenges that both the gentlemen have alluded in the early part of the conversation. So it is a learning process and it is re-plan and re-execute. And we have deployed some strong leadership to some of these units like what the Philippines and all the referable units, which are also going through some of these events to a certain -- to a lesser extent in pockets of projects and locations. Yes.
Sigrid Qiu: Okay. Thank you.
Operator: Thank you. Our next question comes from Han Tan of HSBC. Please, go ahead.
Shuo Han Tan: Thank you, very much. So you guys talked about lower utilization impact on EBITDA margin. Could I ask for those employees that are being utilized, how much is the sort of your price spread narrowing over wages? And how much of that contributes to the - sort of the reduced EBITDA margin guidance for this year?
Jason Lim: Sorry, Han, we missed the question? Can you repeat again?
Shuo Han Tan: Yes. So other than lower utilization impact on EBITDA margins, how much is the spread of pricing, your pricing, over wages for those employees that are being utilized? How much has that contracted?
Chin Tze Neng: Yes. No, it has not contracted. For those employees they are being utilized the margins has not contracted. 
Shuo Han Tan: Okay. So you don't expire any contraction? Yes. For this year is any of that margin erosion from pricing contraction, right? 
Chin Tze Neng: No not from pricing erosion.
Shuo Han Tan: Okay. Thanks. That’s helpful. Just one final question. I want to ask about outsourcing impact. You said that you might see that later in the year, but a lot of the vendors are saying that clients are asking them to be part of this onshore offshore transition. So I wanted to ask if you have won any incremental new deals from the clients that are looking to offshore or if all the business stays with the big BPO vendors? 
Laurent Junique: I think the big BPO vendors all have a big network both onshore and offshore. So they'll probably keep the business. They just will need to relocate it to lower cost locations. So as much as we can say that maybe the price won't have erosion, but the revenue per employee may have because of the flight to lower-cost location wherever possible. And that's quite a natural strategy in a moment like this of our clients looking for efficiencies. So I think, yes, you'll see possibly in the industry clients looking to move away from let's say the U.S. into the Philippines. So it's a positive for us. We're not in the US or in India or in Colombia to lose for cost optimization, but we may also be impacted by clients looking for lower cost location that we can provide in Asia Pacific as well. So something to keep in mind as well. And so I think it's a good one in terms of the trends that we can see, yes.
Shuo Han Tan: Okay. Thank you.  Jason Lim Okay. Thanks, Han. I think that's all the time we have today for Q&A. Thank you all of you for joining us. If you have any follow on just feel free to reach out to me. On behalf of management we are signing off. Thanks and take care. 
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.